Berit-Cathrin Høyvik: Good morning, everyone, and welcome to Hexagon Composites' Q2 presentation. My name is Berit-Cathrin Høyvik, and I'll be moderating today's session. Joining me in the studio today is our CEO, Philipp Schramm; and CFO, David Bandele. They will take you through our company updates, financials and outlook before we wrap it up with a Q&A session. And with that, I'll hand the word over to Philipp.
Philipp Schramm: Thank you so much. Good morning, everyone, and thank you for joining us for our Q2 results. The first half of this year has been a mix of progress and challenges. The continued macroeconomic headwinds led to low volumes in Q2. But we have taken action, including cost-saving measures, rightsizing of the organization and strategic progress. We are seeing encouraging and strong signals in our core markets, especially in heavy-duty trucking in North America. Major orders are now coming through, and more and more fleets are showing interest, as they are seeing the benefit of the new game-changing X15N engine with our fuel systems on. So let's turn to the quarter. Group revenues were NOK 674 million with an EBITDA of NOK 12 million. These results reflect the continued uncertainty in several of our major markets and general delays in investment decisions by our customers. Our Fuel Systems segment continues to outperform the trucking market, especially in the Refuse sector. In Mobile Pipeline, we see continued delays in spending and investment decisions. Macroeconomic uncertainties and low oil prices are driving many operators to focus on asset utilization. For our aftermarket segment, revenues increased in our Vehicle Service business, offset by the cyclical and anticipated lower activity in cylinder requalification services. While navigating these macroeconomic headwinds, we are continuing to position ourselves for sustainable growth. Our main focus areas are in expanding and growing in existing and new markets, broadening our portfolio and exploring new opportunities to build a more diversified, more resilient and more globally integrated company. And I will come back to this in the Outlook section. With that, I will hand over to David, who will walk you through the financials. David, please.
David Bandele: Thank you, Philipp. Good morning, everyone. Our results this quarter reflect both the solid performance delivered by Fuel Systems, but also market uncertainty in Mobile Pipeline. We are confident that we can navigate this challenging environment. On a group level, Q2 revenues were NOK 674 million with an EBITDA of NOK 12 million. The quarter was impacted by continued macroeconomic uncertainty, particularly Mobile Pipeline as anticipated. Positively, we generated solid revenues in Fuel Systems despite a depressed freight market and led by the strength in the Refuse sector. We have continued to proactively take action to mitigate the macro environment with cost-saving measures that won't prevent our ability to scale up when the market rebounds. Also, we have updated our reporting segments this quarter to align to our new internal structure. Hexagon Group will be reported as 3 distinct segments: Fuel Systems, our Commercial Vehicle segment; Mobile Pipeline, our Gas Distribution segment; and our Aftermarket segment, which includes results from Hexagon Agility's FleetCare, the vehicle parts, service and install activities previously reported within Fuel Systems and combined with Hexagon Digital's cylinder requalification and testing technologies. More details can be found on our website. So let's see how the segment results stack up for Q2, starting with Fuel Systems. Fuel Systems delivered solid results despite the current market uncertainty, outperforming the overall trucking market and generated NOK 463 million in revenue for the quarter. The Refuse sector has been incredibly strong in the first half of 2025, offsetting a weaker truck sector. Transit has been relatively steady, and we are pleased to have received a record order for buses in Dallas with GILLIG. With considerable piloting activity in X15N trucks following Freightliner, the largest U.S. truck OEM beginning production, we see momentum building and orders starting to come through in larger volumes. For the segment, EBITDA margin was lower at 7% due to change in product mix and lower overall volumes. Now, over to Mobile Pipeline. Mobile Pipeline remained under pressure and continue to be impacted by broader market uncertainty, resulting in customers halting their CapEx spending this quarter. Larger players, and historically our strongest customers, are favoring module utilization over fleet expansion because of this uncertainty. There's also a delay in investment spending impacting capital goods across many industries, including within the compressed natural gas and renewable natural gas markets as well as in oil and gas applications. This has resulted in the decline in volumes, impacting revenue and our group margins. Revenues were NOK 132 million in the quarter with negative margins of 25%. Moving to our Aftermarket segment. Aftermarket delivered revenues of NOK 109 million, on par with Q2 2024. The expected reduction in cylinder requalifications towards Mobile Pipeline trailers had a negative impact on EBITDA, resulting in NOK 4 million with a 3% EBITDA margin. Otherwise, the vehicle parts, services and install activities remained robust. As communicated in Q1, we've paused formal guidance for 2025, given the market uncertainty. But within this environment, we've continued to proactively take actions and protect EBITDA and liquidity. So far, our responsible cost initiatives include an 8% reduction in headcount as well as significant decreases in other spend categories. We've successfully reduced annual CapEx to NOK 130 million. We have also revised purchasing contracts for our key raw material in Q2. Now, the positive liquidity effects of this will show in the second half of 2025, by reversing the large negative working capital effects from the first half of the year. So with these initiatives, together with NOK 0.8 billion in liquidity and flexible arrangements with our long-term banking partners, we are actively navigating these headwinds, and we'll continue to act responsibly and prioritize value creation. And with that, I'll hand it back to Philipp to share more on our outlook. Philipp?
Philipp Schramm: Thank you, David. Hexagon's strength lies in our ecosystem. We are the only company that enables the full value chain of natural gas applications. We are the leader in all our markets. From gas distribution systems with Mobile Pipeline, we ensure the availability of CNG and RNG and industrial gases from the source to its application. And one of those applications is our integrated fuel system, which enables us to drive natural gas and alternative fuel adoption for heavy-duty, long-haul and high energy-intensive mobility applications. With Aftermarket, we are the only company providing comprehensive service, fleet care and requalification because we care about making the natural gas an alternative fuel experience for fleets as easy as possible. And all of this is anchored on a well-invested platform that is primed to deliver future growth when the market recovers. We are actively managing the market uncertainty to position ourselves for sustainable growth. In addition, we're seeing positive signs that commercial momentum is picking up in our main markets. On the regulatory side, we have seen continued support for natural gas in the United States through the One Big Beautiful Bill. We have also strengthened our European footprint by acquiring SES Composites. We've also extended our strategic alliance agreement with Mitsui, our long-term partner and shareholder until 2030. Commercially, 2 major fleets have now moved past the pilot stage with a game-changing X15N engine and have ordered 160 new trucks, all powered by the X15N engine with our fuel systems on. And we have just received orders to deliver Mobile Pipeline modules to a new customer in Jordan. So let's look at all of this in more detail. Starting with Regulation. With One Big Beautiful Bill, RNG is now funded to at least 2029. And with the European Union's review of the ban on internal combustion engines, we are seeing positive signs that governments are increasingly realizing the need for technological neutrality. As an industry, transportation needs to be allowed to use the best solution available to decarbonize, to modernize and to be cost effective. Recently in the U.S., the EPA proposed to eliminate the greenhouse gas regulations for vehicles. The elimination is not expected to affect us negatively, as the existing NOx level regulation have been retained. CNG and RNG already meet 2027 regulations that most diesel engines cannot. Our conviction in the relevance of CNG and RNG is unwavering, and it is supported by the recent movement in U.S. regulation. We also believe in the future of natural gas in Europe. And so we have strengthened our geographic footprint with the acquisition of SES Composites. SES Composites is a key supplier to European transit bus OEMs with plants in Poland and Germany. This acquisition will make us the leading supplier of natural gas fuel systems in the European market. This acquisition also gives us the flexibility to supply customers around the world from Europe and the United States without overcoming any potential tariff hurdles. SES is expected to deliver EUR 33 million in revenues and EUR 2 million in EBITDA in 2025, and we expect supply chain and sourcing synergies from it. The transaction is valued at EUR 6.4 million and will be settled in Hexagon Composites and Hexagon Purus shares. We expect the close of this transaction in the third quarter of 2025. Another achievement that I'm personally very proud of is the extension of our strategic alliance agreement with Mitsui to 2030. This agreement confirms Mitsui's commitment to Hexagon. Mitsui has been a key partner and shareholder for Hexagon Composites for now almost a decade. Their expertise and global reach have been essential in the development of Hexagon. And we, and I personally, look forward to continuing this mutually beneficial collaboration for the next 5 years. Now, we'll look at the segments, starting with Mobile Pipeline and a recently won order in Jordan as a result of our strong collaboration with Mitsui. We are pleased to support our new customer, Watani in Jordan to unlock regional energy production. It also shows the potential for our solutions outside of our core markets. We are focusing on the Middle East, where demand for energy security and resilient infrastructure is increasingly important. And our solution is the most viable alternative to fixed pipelines. For Mobile Pipeline, there are more and multiple positive opportunities emerging beyond our traditional oil and gas customers. These include mobile refueling stations and backup energy supply, especially for data centers and other industries with high energy demand. Also, for Fuel Systems, we see huge market potential in leveraging the game-changing X15N engine throughout the entire Americas. In July, a leading American consumer goods manufacturer placed an order for our Fuel Systems for 60 of their new X15N trucks. This is the second major order for Fuel Systems on heavy-duty trucks powered by the X15N following UPS lead in 2024. And now, hot off the press, I'm really pleased to share that Trayecto, the leading Mexican transportation company, has ordered 100 heavy-duty trucks with the X15N engine equipped with our fuel systems. This is the largest natural gas fuel system configuration ever installed by Hexagon. This proves our case and proves its capability. There are now 3 major leading fleets who have committed to this new engine with our fuel systems on. This was all possible despite a depressed trucking market. The positive signals we are seeing from our quoting activity with a lot of new fleets of all different sizes make me personally confident that our product offering is being accepted by the market. In conclusion, Q2 reflects progress and macroeconomic challenges, but we are taking actions, and we are starting to see positive commercial momentum. As the market comes back, we are in a pole position to capture long-term and sustainable growth. With that, thank you very much for listening, and we will now take your questions.
Berit-Cathrin Høyvik: Thank you, Philipp. I'll start with a question for you, and thank you to our online audience who've posted many questions for us already. Philipp, we -- you say you see momentum building, how can you say that when ACT just revised its Class 8 truck forecast for 2026 down?
Philipp Schramm: Very good question. Thank you so much. We are operating in unprecedented times. I think I stated this, it's -- we face macroeconomic uncertainties; as we do, also our customers do. Despite these uncertainties, we see extremely high interest in our system, and our sales organization sees high quoting activity. And what makes me confident that when the market is coming back that we will see sustainable growth is. That's not just one customer, it's multiple customers. The interest in natural gas application is growing. It's growing also because the realization has sunk in that the alternatives are not as viable as natural gas.
Berit-Cathrin Høyvik: David, I'll move over to you. Sales have dropped substantially, but working capital continues to build. Please elaborate. And should we view this as a sign of substantial revenue uptick in the third quarter?
David Bandele: It's a good question, particularly on the working capital. So firstly, if I can say, you heard Philipp say, we are confidently and proactively managing through this uncertainty, taking the necessary steps. I would say, first of all, cost reduction, so including 8% headcount reduction so far. And of course, we'll continue to analyze that as we go forward. Secondly, our CapEx is reduced to NOK 130 million. And then the third point, which is the working capital. So what's happened in Q2 is we've readdressed purchasing commitments on our key source material. What will happen now, it means that we will reverse effectively the negative working capital we've seen in the first half of the year that will be reversed in the second half. So that will be a major change and positive liquidity. So meaning, we take out purchasing commitments, and we won't be purchasing that material through the back end of the year. So that's a substantial positive effect.
Berit-Cathrin Høyvik: Okay. I'll continue with you, David. On the current note, you will need EBITDA of more than NOK 350 million in the second half of 2025. This translates to almost NOK 2.5 billion in revenue on the current margin cost level. Are you confident that you can deliver this?
David Bandele: Again, confident with the steps we're taking, absolutely. And again, the big effect is the working capital, which quite rightfully, we should have seen that reduce in the first half of the year, but we'll see that large reversal effect now due to the processes that we just went through. Also, just to reiterate, we have NOK 0.8 billion in liquidity. So that's a strong position ending the quarter. And we've, of course, got very flexible arrangements with our long-term banking partners. So that allows us the confidence to navigate through this period of time. And, of course, remember, our business case is proven. So as you say, when the volumes return, the margins that you saw in Q3, Q4 2024 will return with them.
Berit-Cathrin Høyvik: I will move over to Philipp. Hexagon Purus will run out of cash likely within 2 quarters, maybe 3, what is your plan? And do you see any potential buyers of your stake?
Philipp Schramm: Like with all of our minority shareholders -- shareholdings, we are taking action and measures and reviewing it consistently to drive shareholder value up. And let me explain it a little bit how we are doing this. First, we are reviewing it where they are. And an example is that we really drove shareholder value was, for example, the example with SES Composites, where we used partial payment of this transaction with Hexagon Purus shares. And this makes me confident that we can utilize the assets we have in our shareholdings for future growth.
Berit-Cathrin Høyvik: I'll continue with you, Philipp. For Mobile Pipeline, do you expect to see the same level of uncertainty and investment pausing as seen in Q2? Or are there any improvements you are noting?
Philipp Schramm: Okay. As I stated, Mobile Pipeline so far, and in the past, was focused primarily on the United States on the oil and gas and renewable natural gas business. This business is due to the oil price challenged. And what we see is if investment rates are coming down, changing in a positive way as oil prices are changing, the market will come back. Currently, our existing customers, which we have diversified over the years, will see utilization up. And with that, also our sales will go up. But that doesn't make me believe we can do better. We can do better as we have proven with the most recent order, which we have received from Watani because we are looking into new product development and deployment of these new products relatively soon. We are also entering, and proof is Watani in Jordan, new geographies, and we are looking to acquire quotes from new industries, which we haven't tapped into, for example, utilities, but also, as I stated, industries with a high energy demand, for example, usage of Heil trailers for data center backup power.
Berit-Cathrin Høyvik: Moving back to you, David. Is it correct that your covenants are 3.5x EBITDA? And do you see any risk of breach?
David Bandele: It's not correct. But of course, we don't disclose our covenant arrangements.
Berit-Cathrin Høyvik: And moving back to you, Philipp. Can you please give a rough number, how much revenue on one fuel system for heavy-duty truck by X15N engine is to you?
Philipp Schramm: So it always depends. It always depends what kind of configuration you choose and what you want, what makes me proud and what is promising to see the potential of our systems is the Trayecto order. Trayecto has the largest fuel system configuration on ever, which we have supplied for a trucking company. And this enables Trayecto to utilize the entire power of the X15N engine with the entire power of our fuel systems on. This gives them range. This gives them duration and utilization up for their fleets, and that's what they were seeking for, for the Mexican market.
Berit-Cathrin Høyvik: One question for you, David. Your cash position has decreased significantly in the first half of 2025. How long will the cash position last? And will you need to raise more capital?
David Bandele: So on the cash position, yes, there was negative working capital effects, actually, for the first half of the year. There's also a one-off program with the share buyback. But again, the working capital reversal that we expect to see in the second half of the year would be significant, and that will aid liquidity going forward. But again, NOK 0.8 billion in liquidity is a robust position for the company.
Berit-Cathrin Høyvik: Continuing with you, David, can you quantify the cost cuts?
David Bandele: I can say, and I have said that on the -- first of all, headcount is our largest cost category outside of materials, of course, and we're up to 8% on there. And I can say much more significant percentage terms on other cost categories.
Berit-Cathrin Høyvik: Another one for you, David, on guiding. Why is the guiding not better when the market looks much brighter now than a few months ago?
David Bandele: Okay. Well, we've paused guidance for a reason, and we continue to pause guidance.
Berit-Cathrin Høyvik: Any more questions coming in here. One more for you, David, on the working capital. Q2 ended some 1.5 months ago. Can you say something about where the working capital is now?
David Bandele: Of course, I can't make forward statements like that. But again, I will say that it's significant, the change in our purchasing contracts for the key source material. So once we start seeing the effect of that in the second half, it will be a significant positive to liquidity.
Berit-Cathrin Høyvik: That seems to be all the questions we have for today. So this concludes our Q2 presentation. Thank you for joining us.
Philipp Schramm: Thank you.
David Bandele: Thank you very much.